Operator: Greetings, and welcome to the Sterling Construction Company’s First Quarter 2022 Earnings Conference Call and Webcast. As a reminder, this conference call is being recorded  There are accompanying slides on the Investor Relations section of the company’s website. Before turning the call over to Joe Cutillo, Sterling’s Chief Executive Officer, I will read the Safe Harbor statement. Some discussions made today may include forward-looking statements. Actual results could differ materially from the statements made today. Please refer to Sterling’s most recent 10-K and 10-Q filings for a more complete description of risk factors that could affect these projections and assumptions. The company assumes no obligations to update forward-looking statements as a result of the new information, future events or otherwise. Please also note that management may reference EBITDA, adjusted EBITDA, adjusted net income or adjusted earnings per share on this call, which are all financial measures not recognized under U.S. GAAP. As required by SEC rules and regulations, these non-GAAP financial measures are reconciled to their most comparable GAAP financial measures in our earnings release issued yesterday afternoon. I’ll now turn the call over to Mr. Joe Cutillo. Thank you, sir. Please go ahead.
Joe Cutillo: Thanks Maria. Good morning, everyone, and welcome to Sterling’s first quarter 2022 earnings call. I’m proud to report another record quarter during an unprecedented time of hyperinflation and supply chain challenges. Our teams are working harder than ever to overcome these challenges and ensure we continue to service our customers and our investors. I’d like to take a second to thank them for their efforts and let them know it does not go unnoticed. This morning, I will cover the highlights of our first quarter and the strategic progress we have made. Then I’ll turn it over to Ron for his financial commentary. And I will finish with the market and full year outlook. Let’s start with the most important highlight of the quarter. And that is we had zero lost time incidents in the quarter and our teams went home to their family safe every evening. We continue to be an industry leader in safety, driven by a culture that cares as much about their fellow colleagues as they do about themselves. Our diverse workforce understands that financial results alone are not enough. We’re constantly looking for better ways to protect our people, protect our environments, and give back to our communities. This is what we call The Sterling Way. Shifting to the strategic front, our strategic transformation focused on improving margins, reducing risks, and diversification into value added services continues to pay-off. In the quarter, our highest margin segment, E-Infrastructure surpassed our Transportation segment and revenue for the first time in our history. With the addition of the Petillo acquisition, which we completed at year end. Our E-Infrastructure segment represented 41% of our total revenue and 62% of our segment operating income in the quarter. We continue to be very excited about the incremental opportunities and synergies we have with the addition of Petillo into the segment. Combined with Plateau, we believe, we now have the largest, most capable E-Infrastructure site development company in the country. Our Building Solutions segment, our second highest margin segment continued its organic expansion in both Houston and Phoenix. In the quarter versus prior year operating income increased 27% and our Phoenix market has now grown to over 10% of our revenue in the segment in less than nine months. When combined our E-Infrastructure and Building Solutions segments contributed 89% of our segment operating income in the quarter. In Transportation Solutions our focused on bottom line improvements versus top line growth and migration away from low-bid heavy-high bid projects continues to pay-off. In the quarter versus prior year, our operating income was up 38% while revenue was up 9%. These improvements in all three segments combined, delivered another outstanding quarter. For the quarter versus prior year, our revenue was up 30%. Our net income was up 24% – I’m sorry, our operating income was up 24%, and our net income was up 82% versus year end 2021, our combined backlog grew to over $1.6 billion, and our cash balance ended at just over $80 million. These great results are a direct tribute to the power of linking our customer centric, entrepreneurial culture with our strategic focus, on improving margins, reducing risk and building a platform per future growth. With that, I’d like to turn it over to Ron to give you more details on the financials. Ron? 
Ron Ballschmiede: Thanks, Joe, and good morning. I am pleased to discuss our strong financial start of 2022 and another record first quarter performance. Our updated Investor Relations slide presentation has been posted to our website and includes additional financial details to help further understand our first quarter 2022 financial results. The presentation also provides additional modeling considerations, which underpin our 2022 revenue and earnings guidance. As you may recall, we closed on the Petillo acquisition on December 30, 2021, resulting with the full inclusion of Petillo’s financial results in the first quarter. Let me take you through our financial highlights, starting with our backlog metrics. At March 31, 2022, our backlog totaled $1.527 billion  up $34 million from the beginning of the year. The gross margin in this backlog was 12.8%, a 60 basis pointing increase over the beginning of the year. A higher proportion of E-Infrastructure Solutions backlog drove this margin improvement. Unsigned low-bid awards at the end of the first quarter of 2022 were $142 million an increase from approximately $20 million at the end of last year. We finished the current quarter with combined backlog of $1.669 billion a 10% increase over the end of 2021. Our gross profit and combined backlog was a record 12.6% compared to 12.2% at the beginning of the quarter. Our current quarter book-to-burn ratios were 1.0 times for backlog and 1.43 times for combined backlog. Revenue for the current quarter of 2022 were $410 million up $95 million for 30% over the first quarter of 2021. Importantly, of this 30% first quarter revenue growth; half of the revenue growth was driven by the late 2021 acquisition of Petillo and half from organic Sterling and its revenue. Our segments reported strong first quarter organic revenue growth of 26% from E-Infrastructure, 13% from Building Solutions, and 9% organic growth from Transportation Solutions. The current quarter E-Infrastructure organic growth of $25 million over the prior year quarter reflects a continuing strong demand for distribution centers, data centers, and warehouse within our East Coast footprint. Building Solutions revenues grew 13% over 2021 compared to – compared to 2021 financial quarter. Reflecting continued residential growth in our core Dallas-Fort Worth market and our expanding footprints in Phoenix and Houston. In the current quarter, Phoenix and Houston accounted for 18% of our residential revenues compared to 7% in the prior year quarter. Transportation Solutions revenue was $160 million in the current quarter an increase of 9.1% over the prior period. The increased Transportation revenues were primarily driven by higher heavy highway and water containment and treatment work partially offset by lower aviation revenues. The heavy highway revenue growth was primarily due to increased construction activities on our large design build projects. Consolidated gross profit was $56 million an increase of $11.1 million over the prior year quarter. Consolidated gross margin declined from the comparable 2021 quarter by 40 basis points to 13.9% in the current quarter. This decline resulted from continuing supply chain and inflationary pressures, primarily impacting our E-Infrastructure and Building Solutions segments. These challenges make our year-over-year margin comparison difficult as there was minimal impact of these supply change and inflationary challenges in the first quarter of 2021. General and administrative expenses increased $6 million in the current quarter to $23.1 million. Over half of this increase is attributable to the Petillo acquisition. We continue to expect our full year G&A expense to be approximately 5% of revenues. Operating income for the third – for the first quarter was $28.3 million an increase from $22.8 million in the prior year quarter. Our current quarter operating margin was 6.9% compared to 7.2% in prior year quarter, the declines primarily the results of my aforementioned supply chain and inflationary challenges, which have put pressure on our margins as Q2 of 2021. In the current quarter, one of our 50% owns entities received the final notice that its PPP loan had been forgiven. Sterling portion of this debt forgiveness was $2.4 million and this gain is included in income in the first quarter. The current quarter effective income tax rate was 25.3% a decline from 29% in the prior year quarter. This effective tax rate declined principally reflects the benefit of the $2.4 million non-taxable gain from the forgiveness of our last outstanding PPP loan. We continue to expect our full year effective tax rate to be 28% to 29%. Our full year non-cash portion of our effective tax rate will continue to be approximately 24% of pretax income. The net effective all these items results in a first quarter record net income of $19.3 million or $0.64 per share. The prior year quarter net income and EPS were $10.6 million and $0.37 per share respectively. Our first quarter EBITDA totaled $39.8 million an increase of 33% over the prior year quarter of $29.9 million. As the percent of revenues EBITDA improved to 9.7% of revenues for the quarter up from 9.5% for the prior year period. Cash flow generation from operating activity in the quarter was $19.2 million compared to $38.1 million in the comparable 2021 quarter. The fluctuation principally reflects our first quarter seasonality and mix of – in our changes in the mix in our contracts included in backlog. Additionally, the current quarter included approximately $4 million of cash outflows relating to the payment of the Petillo acquisition related costs in 2022. We continue to expect our full year cash flow from operations to approximate our income from operations for the year. Our first quarter capital expenditures net of disposal proceeds totaled $14.6 million compared to $11 million in 2021. This increase reflects our strong E-Infrastructure Solutions activities, including the impact of the Petillo acquisition. Our full year 2022 anticipated net CapEx continues to be in the $50 million to $55 million range. Now, I’ll turn back to Joe.
Joe Cutillo: Thanks, Ron. Now, I’d like to take a few minutes to talk about our markets and our full year outlook. Starting with E-Infrastructure. Demand throughout the East Coast remains extremely strong. We continue to be very selective on the projects we’re taking to ensure we can continue to service our core customers and their demand first. Our ability to increase capacity significantly still remains limited due to equipment and material availability. At this time, we do not see either of these getting better in 2022. As an example, the current lead time for new equipment is now averaging nine months to 12 months. And our Building Solutions segment, our three markets, which are currently top three markets in the U.S. remain extremely strong. However, this strength is leading to even further supply chain issues and inflation. In the quarter, we began seeing companies put on allocation in several markets for concrete. These allocations are driven by a lack of cement powder availability and are projected to remain an issue through the second quarter. In addition, we continue to see price increases on all of our materials that have been successful that passing those on more quickly than in the past. We saw the benefit of this in the first quarter as our operating income increased over 100 basis points from last year’s first quarter. Our Transportation segment is our only segment seeing slight headwinds from the market. At this time only a small amount of funding from the new infrastructure build has made it through to the bid phase of new projects. Historically it has taken 24 months to 30 months for us to see any significant impact of new funding. This is not a surprise and is how we planned and forecasted this piece of our business. What is more challenging is the disconnect between our customers estimate of project costs or what we call engineers estimates, and actual bid cost. Because our customer’s estimates were developed several months or sometimes several quarters before the bid process they have outdated material and labor costs into them. As a result, we won, but were not awarded almost $300 million of revenue in the first quarter that was 30% to 60% over the engineer’s estimates. These jobs will now go back to be re-estimated using current material and labor prices, and then rebid. Even with the significant challenges, each of our businesses is facing, our strong backlog position coupled with a great start to the New Year, enables us to remain confident in our ability to maintain our full year guidance, our full year revenue guidance of $1.825 billion to $1.875 billion and an EPS range of $2.69 to $2.88. With that I’d like to turn it over for questions.
Operator:  Our first question comes from Sean Eastman with KeyBanc Capital Markets. Please proceed with your question.
Sean Eastman: Hi, Joe and Ron. Thanks for taking my questions. Great start to the year guys. Joe, I just wanted to expand on the supply chain inflation update here. I think the original guidance framework sort of contemplated the status quo type of supply chain backdrop over the course of the year. I’m just wondering, has that gotten worse and you’ve been able to overcome it, in some way. How would you frame that here Joe?
Joe Cutillo: Yes. So, if I look at the supply chain itself, it continues to get worse. It’s not getting better between availability and pricing. But the good news is, when we looked at kind of third quarter, fourth quarter trends and fourth quarter coming into first quarter. We’re not seeing further margin erosion. There’s a little bit of confusion because the first quarter of last year we didn’t see inflation, but what we’ve been watching is, are we seeing any further erosion? As a matter of fact, in our residential business, we’ve actually clawed back a nice amount of some of the inflation. But part of that is, once this started hitting us, we got caught in that, that cycle where we had projects that were already bid, we didn’t have enough inflation built into and we always put some sort of hedge for material to go up, but we never expected some of the increases we saw last year. So, we’ve corrected that process. In addition in our E-Infrastructure business, we’ve done things with the, with fuel indexing in our contract. So, we give a price at the beginning of the contract. If it goes up, the customer pays us. If it goes down, we’ll give money back to the customer to try to offset those. So supply chain’s still very volatile, still going up. But our guys have done an outstanding job of offending it off and we feel good about, the margins. And if it continues at this pace, should see no or very little incremental erosion.
Ron Ballschmiede: Yes. Let me help you with a couple oranges and apples. So from a operating return on our segments, Petillo together with all of our Building Solutions group were flat from the fourth quarter. In other words, we didn’t see further decline in the margins. The challenge in the story is the acquisition, which performed a little bit better than we thought, they would in the out of the gates. But you have to remember that the two things, Petillo is in the far Northeast it snows, and it’s got nasty weather up there in the first quarter. So from a revenue pacing side, approximately 20% of the revenue falls in the first quarter, the 25% or so in the second quarter and then 30% in the balance of the, in the back half of the year. So that’s pretty important that of course, that lower volume impacts margins. And the other one just direct refresh your memory is the Petillo margin characteristics are different than Plateau, because of the type of work, they add on to some of their large dirt moving scope. So historically 40 basis points, I’m sorry, four percentage points difference between full run rate, Plateau full run rate Petillo, but that that’s already been helping the public entity with audited financial statements and performance.
Joe Cutillo: And we built that it in all the plants. So, I think that’s one of the challenges that’s in there, once because we got basically minimal impact in the first quarter last year we’re doing those comparisons. So it’s the – inflation, but also the addition of the Petillo business, which we’re still very excited about.
Sean Eastman: Yes. So this starts to come into my next question. It looks like the 14.5% gross margin guidance is maintained. And so you guys are still confident. You can get that 70 basis points of expansion, even though you started the year down 60 basis points in 1Q and that’s, largely a comps thing it sounds like.
Joe Cutillo: Yes, I think there’s, yes, the two main elements of that are you had a little bit of a comp differential in the first quarter. You got the seasonality of the Petillo business in the first quarter. But they come back strong and their margins really improve over the next three. And between their backlog activity and their run activity, we don’t have any concerns.
Ron Ballschmiede: Even without Petillo, don’t forget our seasonally slowest quarter always is the first quarter, same store sales across the board. So, we are clenching on having confidence that we’ll remain in that 4.5% – 14.5% bandwidth.
Sean Eastman: Yep. Okay. And then last one from me, is it fair to say that you guys are tracking ahead of budget on revenue here in the first quarter? This run rate seems to leave some room for upside on the full year range is my sense, unless I’m missing something there?
Joe Cutillo: Yes. Here’s what I would say. We’re kind of sticking with the guidance that kind of, we are sticking with the guidance today. And we’re still early in the year, Sean, there’s still so many moving parts out there with the supply chain. The piece, that worries me, everybody wants to understand is their margin erosion. I feel pretty good about that is availability and knock on wood we thought our way through, but availability does not seem to be getting any better on these materials. And as you can, imagine if projects later in the year can’t get raw materials, do they continue to start up or did they delay them a month or a quarter that’s still the wild card, we got out there frankly. So, we feel good with the backlog we have, we feel good with the tailwinds of the markets. We just have that one variable of the headwind on the supply chain side that we just, we can’t control and we don’t know at this point in time. So, we’d be getting over our skies if we went any further than the guidance, I think.
Sean Eastman: Yes, I think that’s totally fair and insightful. Thanks a lot, guys. I’ll turn it over.
Joe Cutillo: Sure. Thanks, Sean. I appreciate it.
Operator: Our next question comes from Brent Thielman with D.A. Davidson. Please proceed with your question.
Brent Thielman: Hey, thanks. Good morning. Joe, Ron congrats, great quarter.
Joe Cutillo: Thanks, Brent.
Brent Thielman: I guess the first question just on Building Solutions, Joe, you talked about some of these allocation issues for concrete. Does that cause some near term deceleration on the top line in this segment?
Joe Cutillo: No, the good news is, we’re, we saw them, they started hitting in the quarter, we’re fighting through them. If anything, it’s I think our growth in the Phoenix market would be even bigger than it than has been. We – we’ve been really happy with the team and their performance and now that’s up, 10% or so of our total volume. I think it would be even higher, if we didn’t see some of the allocations and shortages on the material side. So, we’ve got it all baked in. It’s just – it’s kind of, it’s got the rains on us a little bit here as we see.
Brent Thielman: Okay. And it sounds like the Phoenix markets now bigger than the Houston market for you. Maybe that’s just a function of the demand environment, but maybe you could talk a little bit about that and things you to grow the business in Houston.
Joe Cutillo: Yes. So the Houston market’s still, obviously a great market is bouncing between one and two. It seems one quarter Houston’s one next quarter Dallas is one. The fundamental difference between the two markets is, you do have two fairly sizable players in the Houston market. So, we’re doing business for one or two builders and a couple, one or two small builders very limited in very hard to get labor. Okay. So, we’re able to grow in Houston is labor is more of our limiting factor in the Houston market. Phoenix a lot of small players, not a lot of large players in combination of the market, the pricing in the market, labors are still a significant issue down there as well. But that market seems to be an easier opportunity for us to get faster traction with not only our core customers, but the potential of some other customers as we go forward. So we, from a strategic standpoint, we’re spending more and more time on what we might be able to do to even enhance the growth rates in the Phoenix market.
Ron Ballschmiede: And certainly the Houston revenue increased pretty steadily in 2022 here. But not at the pace that obviously – the going from nothing to something in Arizona and a lot, it’s part of that math.
Joe Cutillo: I would say that’s probably the right way to look at Houston’s on par with what we anticipated. Phoenix is greatly exceeding our expectations on how fast and how rapid that’s quickly.
Brent Thielman: Okay. And then on the cash flow side in the first quarter, last year was really, really good. Obviously not as strong in this first quarter this year, maybe Ron just the moving pieces, the cash flow side here in the first quarter, is that functions some of these supply chain issues, or maybe just talk through that?
Ron Ballschmiede: No, I think it’s consistent what we thought it would be. So the difference year-over-year is several, of our large design build projects we’re getting off the ground and ramping up into in first quarter of last year. Generally, that’s good for cash flow, because we’re getting, money into to mobilize and early payments. They’re not huge, but at the same time, we’re not spending a lot of money, getting there so that level’s off, and we’re seeing a level off. So we’ve always thought that even through, the bidding of the last year, that our best metric around cash flow from ops because it’s a challenging one with all the variables in there would be – would approximately our operating cash – sorry, income from operations for the year, which is give or take $150 million. So, we’re continuing to kind of stay in that bandwidth for the expectation side.
Brent Thielman: Okay. And then just coming back to Sean’s questions on the E-Infrastructure segment, I guess, I just wanted to kind of recap what I think you said in that. It sounds like the first quarter is sort of a low point for margins. You should get some benefits of leverage as you get into seasonally stronger quarters here, kind of Q2, Q3 such that we should seen some decent improvement in margins in that segment over the next couple quarters. Is that fair?
Joe Cutillo: Yes. We – the margins in the first quarter are not eroded because there’s a margin issue or a pricing issue or anything like that. It’s seasonality driven.
Brent Thielman: Got it.
Joe Cutillo: So they will…
Brent Thielman: Okay, thanks.
Ron Ballschmiede: And hopefully we’ll continue with a flat impact of, I can go away, but our challenges of pricing inflation and supply chain. So, we have built in not to recover too quickly, because we just don’t see any recovery in 2022 and our short range crystal ball.
Joe Cutillo: Yes, I think one of the challenges that Sean, both you or Brent you and Sean both have is that in everybody’s going to have is, we haven’t gone through a full year with Petillo in the mix yet. So, we – it’s challenging, we know kind of the ramp up rates and the quarterly rates and everything. And I think that’ll become very apparent as we get through the year for everybody. And it’ll be very consistent as we go into next year as well.
Brent Thielman: Okay. Very good. Thanks for taking the questions.
Joe Cutillo: Sure.
Operator: Ladies and gentlemen, we have reached the end of our question-and-answer session, and I would now like to turn the call back over Mr. Cutillo for closing remarks.
Joe Cutillo: Thanks, Maria. And thank you everyone. I’d like to take a minute to reflect back on the quarter and with an outstanding job, all the teams have done and some very, very challenging times. If you have any follow-up questions or wish to schedule a call, please refer to the information provided in the press release associated with our Investor Relations group at Sterling or partners at the Equity Group. I hope everyone’s had a great day, has a great day. And I thank you again for your time this morning.
Ron Ballschmiede: Thanks everybody.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.